Operator: Good morning. My name is Steven and I’ll be your conference facilitator today. At this time, I would like to welcome everyone to the UPS Investor Relations Second Quarter 2014 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer period. Please note, we will take only one question from each participant to accommodate more analysts during the call. Thank you for your cooperation. It is now my pleasure to turn the floor over to your host, Mr. Joe Wilkinson, Investor Relations Officer. Sir, the floor is yours.
Joe Wilkinson: Good morning and welcome to the UPS second quarter 2014 earnings call. Joining me today are Scott Davis, our CEO; Kurt Kuehn, our CFO; along with Chief Operating Officer, David Abney; International President, Jim Barber; President of U.S. Operations, Myron Gray; and UPS Chief Commercial Officer, Alan Gershenhorn. Before we begin, I want to review the Safe Harbor language. Some of the comments we'll make today are forward-looking statements that address our expectations for the future performance or results of operations of the company. These anticipated results are subject to risks and uncertainties, which are described in detail in our 2013 Form 10-K and first quarter 10-Q reports. These reports are available on the UPS Investor Relations website and from the Securities and Exchange Commission. As previously announced during the quarter, UPS completed the transfer of post-retirement liabilities for certain Teamster employees to defined contribution healthcare plans. As a result, the company recorded an after-tax charge of $665 million reducing earnings per share by $0.72. In our remarks today, all quarterly and full year comments and comparisons will refer to adjusted results. In addition, we will discuss UPS’ free cash flow which is a non-GAAP financial measure. The webcast of today’s call along with the reconciliation of free cash flow and adjusted results are available on the UPS Investor Relations website. Just as a reminder, as on previous calls, please ask only one question so that we may allow as many as possible to participate. Thanks for your cooperation. Now, I will turn it over to Scott.
D. Scott Davis: Thanks, Joe, and good morning to everyone. UPS experienced robust second quarter revenue and volume growth across the portfolio, and we are encouraged to have all three segments improving operating profit, the first time since 2011. Customers choose UPS solutions at an increasing pace confirming the value of our portfolio. However, our results also reflect the challenge of today’s evolving marketplace and earnings were somewhat less than we expected. The accelerated growth and peak season preparations are driving the implementation costs as well as increased investments in automation and new capacity. David will provide you details on these efforts in a moment. The initiatives we are pursuing today will enable UPS to provide enhanced solutions for our customers to secure their business and build their trust. At the same time, we’d look for opportunities to improve revenue management, driving more bottom line growth and industry-leading margins well into the future. The expansion of dim weight pricing is a change we’re making to ensure UPS is properly compensated for network consumption. During the quarter, we saw economies around the world pick up a bit. The U.S. economy did rebound as expected from the weather-related problems in the first quarter. Solid economic fundamentals had driven retail sales higher especially e-commerce. In Europe, the economic outlook has remained steady with growth from larger countries offsetting slower, smaller ones. While growth in Asia remains relatively stable, they are seeing an acceleration of overall exports. One way to increase economic growth is through pre-trade. Recent efforts by the administration to proceed with a next phase of the National Export Initiative will develop opportunities for U.S. small and medium-sized customers to reach new markets. This platform includes sections on trade facilitation, border clearance reform, free trade agreements and infrastructure investment. Expanding pre-trade agreements will provide employment opportunities here at home. Speaking of employment opportunities, to support the Joining Forces initiative, we pledged to hire 50,000 veterans by 2018. Military veterans have a long tradition at UPS and bring valuable skills that provide great benefits for our company. Also during the quarter, because of our progress with ORION, CIO Magazine recognized UPS as one of 100 companies that demonstrates excellence and achievement in information technology. This breakthrough routing technology represents a decade-long effort to develop tools that reduce miles driven, cut fuel consumption and improve the customer experience. Recognition like this is rewarding but more importantly the capabilities we received from this technology puts UPS in a better position to respond to changing market dynamics. Before I turn it over to David, I want to take a moment to congratulate him on being named UPS’ eleventh CEO. I know he’s excited to lead UPS and I’m confident David will bring his extraordinary passion and commitment to the job. David?
David Abney: Thanks, Scott. I speak for everyone at UPS when I say that we are a better company as a result of inspired leadership you’ve provided. You led the company through one of the more turbulent global economic periods in history transforming UPS into the world’s leading logistics provider. On behalf of the 400,000 UPS’ around the world, we say thank you. On a more personal note, Scott and I have worked closely for more than a decade. During that time he has been an inspiring mentor and I look forward to working with him as Chairman. As part of the transition, Scott will remain in his current role until September. This allows me to spend most of my time out with customers and employees to better understand their needs and listen to their ideas. From what I have heard so far, I am more encouraged than ever about the future of UPS. One frequent topic of discussion has been our preparation for peak season. We’ve had meaningful conversations with customers about our plans. These discussions provide the foundation for a joint commitment of forecast volume enabling UPS to better manage how large accounts impact our network. We have made changes to UPS technology that will improve communication with customers. Solutions have been implemented to provide better information on package location and shipment status, ultimately benefitting customers and UPS. The accelerated ORION deployment is progressing. Now, its reductions have come in higher than planned and we expect to have about 45% of our drivers using the routing technology for peak. The facility automation and expansion projects are moving ahead as expected. Several new buildings and retrofit projects in California and Texas will come on line later this year, providing additional capacity and flexibility. To increase sort capacity, we are opening about 50 new hub source in existing buildings. This will add 5% to our capacity with minimal capital investment. UPS is focused on staying ahead of the holiday shipment surge that starts during cyber week. We have always had limited operations on Black Friday. However, this year we will expand to a full operating day. While this benefits the network by leveling volume fluctuations, it will drive additional operating costs. As we look more closely at preparing for peak and the implications of the accelerated volume growth, we have expanded the scope of several projects I just reviewed. Though these projects will weigh on 2014 earnings, they will pay for themselves in the long run. Overall, we are ahead of our peak readiness plan and I am confident UPS would deliver a great peak season this year. Now, looking across the portfolio, I will provide some details on other strategic investments UPS is making. Here in the U.S. we opened our new automated facility in Laredo, Texas. This is a key location to support the rapid growth along the U.S. and Mexican border. Also in the U.S., we recently opened 36 healthcare-compliant field stocking locations to reduce delivery time for medical device shipments. These sites will provide customers the ability to reach over 80% of U.S. hospital beds within four hours. In Europe, UPS announced the opening of a new packaged center in Southampton, UK. This 150-car facility nearly doubles the capacity of two other buildings it replaces. Meanwhile in Asia, we opened a distribution facility at the Beijing airport to serve UPS customers hi-tech retail and healthcare supply chain needs. Also in Asia, we added our rail service option for UPS forwarding customers shipping from China to Europe. This low-cost, four-container offering is up to 50% faster than ocean freight and 70% less costly than airfreight. In Latin-America, we announced a significant expansion of our small package operations in Brazil. The opening of nine facilities will allow UPS to service more than 200 cities in the country. As you can see, UPS has been busy expanding our reach, creating supply chain capabilities and building out our small package infrastructure. These investments are part of our long-term strategy for growth and will improve returns going forward. This will be a parent in 2015 as we benefit from dim weight pricing and operational improvements from ORION. UPS’ around the world are implementing these innovated solutions to meet customer needs. UPS is positioned to benefit from the continuing acceleration of global trade and the economic growth of emerging markets. I can assure you creating value for customers and shareowners remains a top priority for the senior leadership team at UPS. I look forward to meeting many of you at the investor conference in November where we will share more details on our plans for the future. Now, I would turn it over to Kurt to update you on the quarter’s results. Kurt?
Kurt Kuehn: Thanks, David, and good morning. UPS portfolio is hitting the mark with customers resulting in global shipment growth of 7.2% and driving revenue up 5.6% to a total $14.3 billion. Certainly the pace of growth exceeded our expectations. However, increased demand for low cost deferred solutions has put pressure on yields and margins. Second quarter earnings per share increased by 7.1% but was below our expectations. We continued investing in new capabilities and expanding our network, adapting our business today to ensure that we can capitalize on future growth opportunities. Now for some details on how the segments performed. Starting with U.S. domestic where revenue increased 5.2% to $8.7 billion, driven by a 7% jump in packaged volume. UPS Ground products contributed 8% growth while deferred improved over 5%. Retailers continue to select UPS SurePost for their lightweight residential shipments, accounting for about half of our volume growth this quarter. However, we do expect this growth to slow a bit as we wrap wins from last year. In addition, during the quarter, a retail customer upgraded its catalog distribution to UPS Ground from the U.S. mail contributing to our ground growth. Beyond B2C, our B2B growth was the highest we’ve seen in several years, primarily due to the retail sector. We also saw improvements in the industrial and manufacturing sectors. Combined, these changes in product and customer mix led yields lower by 2% driven primarily by a more than 60% jump in UPS SurePost shipments. Operating profits increased by 34 million to $1.2 billion while operating margin decline slightly to 13.5%. A couple of key factors created operating expense headwinds. First, we continued to experience very poor rail performance during the quarter. In order to maintain service commitments, alternative operating plans were put into place. This drove higher purchase transportation expense as well as excess UPS network costs. In addition, hiring and training costs increased in Q2 due to the accelerated volume growth and the peak-related projects that David mentioned. However, we were able to offset much of the higher costs through improved productivity. Our direct labor hours were up 6% and miles driven were up 4% compared to average daily volume growth of 7.4%. Expense per package declined by 1.7%, a good result but not quite enough to offset the yield decline. Now for the international business where revenue was $3.3 billion, up 6%. Total shipments increased by 6.6% led by higher export product growth for Europe and Asia. Export shipments jumped 9.1% with Europe up 13% and Asia up about 6%. Non-U.S. domestic volume increased by 5% led by strong growth in Europe. Currently neutral revenue per piece declined 1.7% as our export product yields dropped by 4%. Strong non-premium growth of 13% continued to outpace premium products although they were also up by 4%. Yield was also lowered by shorter trade lanes as our intra-Europe volume was one of the fastest growing lanes. Operating profit improved by 4.4% to $471 million. However, operating margin did contract 20 basis points to 14.5%. During the quarter, we continued to experience rapid shipment growth as changing volume distribution patterns developed in Europe. These trends pushed network capacity above ideal levels in a few areas and as a result we were forced to pay a premium for short-term capacity. This contributed to higher delivery and network expenses, ultimately driving in-country costs up by 8.9%. In the near term, our team in Europe is implementing a number of changes to operations while pursuing revenue management initiatives aimed at improving yields. In addition, we are finalizing our capital investment plan designed to add capacity and improve operating leverage. We are confident in our ability to pull growth through the bottom line. Looking now at supply chain and freight which performed well this quarter with revenue growth of 6.5% up to 2.3 billion. Operating profit increased 11% and margin expanded by 30 basis points to 7.5%. The forwarding unit experienced substantial revenue growth and expanded operating margin slightly, driven by improvements in ocean forwarding and brokerage. International airfreight experienced double-digit growth in both shipments and tonnage although the pricing environment out of Asia continued to weigh on profitability. In distribution, customers continue to seek our unique solutions to their supply chain needs. Revenue increased by high single digits lifted by improved demand from retail and healthcare clients. UPS freight revenue grew 5.5% primarily due to a 4% improvement in LTL revenue per 100 weight. Pricing benefitted from the acceleration of the rate increase and tightening market capacity. The unit improved both operating profit and margins. Now for an update on our cash position. For the six months ended June 30, UPS generated 1.0 billion in free cash flow. This number was impacted by the transfer of union post-retirement liabilities that we discussed last quarter. Excluding non-recurring items, cash flow improved by over 400 million over last year. So far this year, UPS has paid 1.2 billion in dividends, up more than 8% per share. We’ve also repurchased 13.7 million shares for approximately $1.4 billion. Looking at our expectations for the rest of the year, UPS growth around the world has picked up and we are investing in capacity and automation today and will provide excellent returns down the road. The peak preparation efforts that David mentioned like the additional sorts, facility enhancement projects and the expansion of our Black Friday operations will drive costs higher. During the ramp up and implementation, these projects are expected to increase 2014 operating expense by a total of $175 million. This represents another 75 million on top of our original estimates. As a result, we now expect earnings per share to be in a range of $4.90 to $5 a share, representing a 7% to 9% increase over 2013. We do anticipate a strong second half of 2014 with earnings per share growth of 12% to 17% over the back half of 2013 with all three segments increasing operating profits. In the U.S. treating Black Friday as a full operating day this year will lower reported daily volume growth in Q4 by about 160 basis points. Nonetheless, we expect average daily packaged growth to be a little over 5%, slightly higher than previously guided. Revenue per package is projected to decline by about 1%. Operating margin is expected to expand to approximately 14%. We also expect to see strong second half improvements in our international results with shipment growth between 4% and 6%. Yields will continue to be challenged by the changing product mix. Operating profit is estimated to grow at low double digit rates with some margin expansion. Our expectations for supply chain and freight remain positive with mid single digit revenue improvements and mid teens operating profit growth. So as you can see, we are experiencing some growing pains right now. This is a great problem to have as long as we successfully adapt our network and facilities to effectively bring this growth through to the bottom line. This completes our prepared remarks and we’re ready to take your questions. I’ll turn it back to the operator.
Operator: Our first question will come from the line of Kevin Sterling of BB&T Capital Markets. Please go ahead.
Kevin Sterling - BB&T Capital Markets: Thank you. Good morning. Scott, congratulations on a successful tenure. Wish you the best in the future.
D. Scott Davis: Thanks, Kevin, appreciate it.
Kevin Sterling - BB&T Capital Markets: My question, guys, you continue to talk about the growth in non-premium products continue to outpace premium products. Are we seeing that delta shrink at all as volumes improve across the board, whether it’s international or domestic? And maybe we’re starting to see some customers possibly move back to premium products given a strengthening economy?
D. Scott Davis: Yes, clearly there’s some view of that but in the international, for example, we saw a solid 4% growth in those premium products. It’s just dwarfed by the transport or growth in shipments. I think generally we’re seeing life in all parts of the portfolio although we expect a continued spread where the deferred products and standard products will continue to grow in excess with premium ones, Kevin.
David Abney: It does seem that it has plateaued. I mean over the last couple of quarters we’re not seeing that gap get any bigger, so it feels like or as long as we can see that growth. And if you see some new technology introductions later this year that might help the express also.
Kevin Sterling - BB&T Capital Markets: Got you. Okay. Thank you.
Operator: Our next question will come from the line of Mr. Scott Schneeberger of Oppenheimer. Please go ahead.
Scott Schneeberger - Oppenheimer: Thanks. Good morning. I’m a bit curious about the U.S. on your rail disruption and then if I can kind of throw in a second part and go international and just curious about the China-Europe rail capacity and how much that can ramp to? Thanks.
D. Scott Davis: Yes, I think certainly the rail disruption and the congestion this quarter was significant driving both added expense and creating some real challenges on the service side. I don’t know, Myron, maybe you could talk just a little bit about what we’re doing then.
Myron Gray: Yes, Scott, along with disruptions caused by the rail network what that does is certainly increase the purchase transportation costs in the quarter. And as a result of that, we also has saw a significant increase in hiring and training needs to offset the abilities of the rails to adhere to our expectations on our customers to meet on time commitments. So we’re in a process of adding additional feeder drivers to offset that costs.
D. Scott Davis: Yes. So clearly we’re adapting and adjusting as it was happening and created some challenges, but we have transitioned some of the volume off in the most congested lanes. As far as the Asia to Europe lane, that’s still a relatively small amount right now but we think over the long term it will be an opportunity although certainly some of the disruptions as you cross borders there may be a challenge for a while.
Scott Schneeberger - Oppenheimer: All right. Congratulations Scott and David.
D. Scott Davis: Thank you.
David Abney: Thank you.
Operator: We have a question from the line of Ken Hoexter with Merrill Lynch. Please go ahead.
Ken Hoexter - Merrill Lynch: Great. Good morning. If we can talk about your new guidance, the $4.90 to $5, it seems that it’s much larger than the $175 million expense, maybe even over $200 million to $400 million in terms of the decrease. Is there anything going on other than just your increased expenses? And maybe can you talk in the same vein about margins on the e-commerce? Is that changing the dynamics of the margin capability in ground at all or can you maybe just delve into what the margin potential on e-commerce volumes are? Thanks.
D. Scott Davis: Yes, I think, Ken, certainly a portion of the guidance change is the Q2 results. And I think if you factor that out then really what we’re looking forward comes very close to the overall investments and added expense that we’ve made. So, clearly, the challenges of us keeping up and training quickly as part of this ramp up does create some headwinds. But the Q2 contributor to better the adjustment we had some excess cost with the rails and then if you look forward, the primary difference and what we’ve been discussing is just the current investment. So we are looking for a 12% to 17% increase in the back half of the year and I think all of those pieces of the puzzle fit together.
Kurt Kuehn: Ken, we really after the weather in the first quarter – our last quarter we guided to the bottom of the range which was really 5.05, so I think that’s your starting point.
Ken Hoexter - Merrill Lynch: Okay. Thanks.
Operator: Our next question will be from the line of Mr. David Vernon of Bernstein. Please go ahead.
David Vernon - Sanford Bernstein: Good morning. Thanks for taking the question. Kurt, could you maybe talk a little bit about the added 175 million, how much of that you guys have already spent? How much remains to be spent? And then David, if you could talk a little bit about sort of how you look at those costs next year and what kind of actions you can take to make sure that those actually come out of the P&L next year?
Kurt Kuehn: Yes. So if you’ll look at the change in our description of the investments as we’ve really dug in and made better forecast, the big amount of the change is going to occur primarily in the fourth quarter. We’re adding operations the day after Thanksgiving that does add expense. Over time it may generate more revenue but the real purpose is to smooth out operations. And then also our IT resources and we’re going to open almost 50 new hub sorts to handle capacity. So the majority of the change in the added expense is in the fourth quarter. We spent about 15% of the total in the second quarter. That will get up to 30% or so in the third quarter and then the residual kick-in in the fourth quarter. David, maybe you can talk a little bit about how this fits together.
David Abney: Certainly can. First, I think the point is that many of the projects and investments that we’re making in this year will provide benefits not only this peak but throughout next year. A good example is the additional IT expense that we’re experiencing. We’re working on 30 different projects and those projects will help us for peak but they also will help us next year and we won’t have that additional expense. So that’s one good example. The second one is running a full operations day on Black Friday. That is an additional expense but what we have to realize is it smoothes out the cyber week volume, allows us to better manage e-commerce demand and some of that costs will be offset by more efficient operations for the following week. And while we haven’t determined exactly what we would do next year for Black Friday, we do expect that we would operate on a pretty extensive basis. And then the wrap up costs for these 50 additional hubs, a lot of the expense is just getting those hubs ready and then getting them staffed. Many of those hubs or some of them will continue to run through next year. Others, it will be much easier to wrap them up next year for peak just because we’ve done all the work this year. So I’d say a considerable amount of the costs would not be in next year’s numbers.
D. Scott Davis: Yes, just to add to that, David, I think as we look at next year we expect OpEx not to be nearly as dramatic for this purpose as we saw in 2014. If something drives that then we’ll have to evaluate pricing at peak season again. If we have to do this again, we’ll have to evaluate how we price at peak season.
David Vernon - Sanford Bernstein: All right. Thanks very much for the time.
Operator: We have a question from the line of Mr. Nate Brochmann of William Blair & Company. Please go ahead, sir.
Nate Brochmann - William Blair & Company: Good morning, everyone. And want to echo my congratulations, Scott and David.
D. Scott Davis: Thank you, Nate.
David Abney: Thanks, Nate.
Nate Brochmann - William Blair & Company: So kind of going on along with that question, but a little bit bigger picture in terms of – like from a strategic focus, we've kind of been through the decrease from premium to non-premium products and the lower volumes out of Asia and whatnot and then we had the peak season issue where you’re clearly adjusting for; and then we had the rail issues early this year. It seems like, give or take, the overall freight environment and supply chains are so dramatically changing quarter-to-quarter. How do you maintain that flexibility longer term as we get through these different volume swings and different movements in terms of how do you think about the business and how do you have to react to that?
D. Scott Davis: Well, Nate, I think what you’ve seen is us reacting strongly over the last few years. One of the things we are doing to make us more capable to adjust to these changing conditions is reinvesting in the network heavily and focused on IT with data-driven operations, increased automation and a lot of creative applications from the market side. So this has been a part of the transformation that we’ve been talking about for several years now. Right now certainly preparing the network and lowering our variable cost to handle this continued growth in B2C is the midst to the investments we’re making. So, we think we’re on top of this. I mean it doesn’t always come out as smooth as you’d like and clearly we would have liked to have a little stronger quarter. But the demand is there. I think UPS quality and service is great and so we feel very good that we’re building this company for the long term no matter how the market changes.
Operator: Our next question will come from the line of Kelly Dougherty of Macquarie. Please go ahead.
Kelly Dougherty - Macquarie Capital: Hi, guys. Thanks for taking the question. Just wanted to focus on the international business. I believe you said Europe is about 50% of that. So just wondering how much of your growth expectations internationally are macro-related versus what you’re doing to some internal initiatives, network adjustments, acquisitions, things like that? Trying to get a sense of how the macro environment in Europe might impact the international business.
D. Scott Davis: Clearly the UPS growth is far outpacing any definition of either market or GDP growth in Europe which remains, I guess we would say steady but sluggish. But Jim, maybe you could talk a little bit about what’s going on over there.
Jim Barber: Sure. I would say back to those points is that in this quarter obviously with revenues up at 6 and exports in double digits in some places that’s clearly above any macro environment. We’ll continue to focus in those places like Europe that we’ve talked about on the previous calls. I think going forward though, Kelly, I think you’ll also see more in the emerging markets from us. That’s where a lot of the investments are at this point as well as capabilities like access points that will enable us to continue to accelerate this. So as far as organic versus inorganic, this is just about growing the business as we historically have and we think in all parts of the business right now we’re doing a nice job with growth.
Kelly Dougherty - Macquarie Capital: Is there any way to think about maybe not actual numbers, but the profitability differences between Europe and maybe the rest of the world kind of order of magnitude even?
D. Scott Davis: No. We really don’t break out regions. These regions are all interconnected but certainly we’re pleased to make investments in Europe and do expect to continue doing that going forward.
Jim Barber: We do well in all regions.
Kelly Dougherty - Macquarie Capital: Thanks.
Operator: Our next question will come from the line of Ben Hartford of Robert W. Baird. Please go ahead.
Ben Hartford - Robert W. Baird & Co.: Good morning, guys. If I could circle back to supply chain specifically on the forwarding side, I think you made the comment that – maybe it was Scott – that overall exports out of Asia were accelerating. You guys have some relatively easy comparisons from some company-specific efforts but yields overall, you had made the comment as well, still are pressured some. Could you provide some perspective in terms of how to look at the back half of the year within that segment specifically on the yield front given some of the capacity management efforts in Asia across the industry into what appears to be an accelerating export environment, but still a very competitive yield dynamic? Can you provide some perspective there?
D. Scott Davis: Sure, Ben. It sounds like you got a pretty good handle on it. But Jim, maybe you could flush it out a little bit and talk about our look going forward.
Jim Barber: Sure. I think we should start with the fact that airfreight is just one of the products, so we should brokerage North American. It’s really doing well in many, many parts of the business. With respect to airfreight out of Asia, yes, we do see the market tightening. Yes, it is a competitive market. You can see in our growth rates we just talked about that we’re actually bringing new customers on with the capabilities in the network. We are evaluating increases as the market tightens. We’ll do that. We’ll continue forward. We talked about a year ago making sure that we relied less on a couple of concentrations. I think we’ve done a great job across the industries to get us where we are today and we’ll continue to manage that in a very dynamic environment. And of course in the back half of the year oftentimes product launches appear that help us manage through this and balance that as well. So, good stuff coming out of the airfreight business all around.
Operator: Our next question will come from the line of William Greene of Morgan Stanley. Please go ahead.
William Greene - Morgan Stanley: Hi, good morning. Congrats, David and Scott. All the best to you.
D. Scott Davis: Thanks, Bill.
William Greene - Morgan Stanley: I have a question on B2C and of course you folks have seen the post office's moves on pricing. Can you talk about how that will affect your efforts and what it means from a dim weight perspective or from a pricing dynamic and the U.S. perspective? I realize B2C is getting to be a big part of the business now, over 40%, so I’m not sure how to think about what dynamics are with the post office if they take actions how it affects you?
D. Scott Davis: Bill, this is Scott. I’ll start off. First of all, it’s not unusual to see our competitors suggest rates. The USPS though really does not offer the same level of service and capabilities that we do at UPS. I think the technology is a differentiator, our integrated service offerings are a differentiator, our guarantees are different. At the same time, we work very closely with the post office. We appreciate their universal service mandate where customers of theirs are customers of ours, but there is some concern as we go forward and how they price competitive products and there is some concern about cross-subsidization that we’re going to be working with the Postal Regulatory Commission to ensure they don’t cross-subsidize the competitive products. An example, I guess, is only 55% of the USPS costs are actually attributable to products. The rest of those costs are institutional costs and only 5% of those go to the competitive products while 20% of the revenue is from competitive products. So there are inconsistencies there that we’re going to work with the Postal Regulatory Commission on and we’ll pay attention to as we go forward. At the same time we’ll go out and compete with the post office.
Operator: We have a question from the line of Mr. Scott Group of Wolfe Research. Please go ahead.
Scott Group - Wolfe Research: Thanks. Good morning, guys.
D. Scott Davis: Good morning.
Scott Group - Wolfe Research: So I wanted to follow up on pricing and maybe the answer is just the post office, but clearly there are some capacity issues here. You [had them] (ph) in peak. The rails are struggling. I’m wondering why aren't you guys talking more about pricing and getting more aggressive with pricing? And then beyond the dimensional pricing on ground, are there other specific things you can do like that to start seeing some better pricing and to offset some of the mix?
D. Scott Davis: Yes, clearly and certainly the dim weight was a good example of pricing that helps to match our cost to our rates and we clearly look at that. We have said in general that 2014 is the year of investing for the customer and creating unparallel service and that was a higher priority than short-term price issues. But, Alan, clearly you guys do a lot of thinking and activity in this front. Maybe you could talk.
Alan Gershenhorn: Yes. So obviously the market continues to change with the B2C volume making up a bigger concentration of our business and we all see that that results in lower yields due to lighter weights and the mix between the products and the customers that are using those services. We’re continuing to calibrate our pricing models to make sure that we’re aligning to the service that we provide and the price and a long-term strategy remains to achieve that 2%, 3% annual base price increase. Certainly the dim weight initiative that will begin at the beginning of 2015 will help bring us to the higher end of that base rate increase. We’ll also encourage our customers to take a look at their packaging practices and we’re already working with lots of customers in that regard right now so that they understand the impact of the dimensional weight changes. And either way if they change their packaging, UPS gets a nice cost advantage as do our customers or they’ll pay for the size of the packaging.
Scott Group - Wolfe Research: But given some of the cost issues and tighter capacity, you don't see an opportunity to go above 2% to 3% in this environment?
D. Scott Davis: We aren’t looking for dramatic changes. We make sure that over time we are appropriately compensated. Certainly next year will be a little different story than this year. Our primary focus this year is capacity and service. So we’ll talk about that more going forward.
Scott Group - Wolfe Research: Okay. Thanks, guys.
Operator: We have a question from the line of Brandon Oglenski of Barclays. Please go ahead.
Brandon Oglenski - Barclays Capital: Good morning, everyone.
D. Scott Davis: Good morning, Scott.
Brandon Oglenski - Barclays Capital: Scott, congratulations. Hopefully, you’ll get some more time on the golf course going forward.
D. Scott Davis: I’ll give it a try, Brandon. Thank you.
Brandon Oglenski - Barclays Capital: David, welcome to the spotlight. I guess my question is going to be a little difficult here, but I mean over the years we've all come to think of UPS as really geared for growth. If you go back talking about how your domestic business should grow around GDP if not above it, well, we’re in that environment now. The last couple of Teamster contracts, we’ve always discussed how they are geared for that incremental growth, the incremental package in the network and now with the deployment of ORION, obviously that could be a game-changer. And yet here we are in our third year of sub double digit EPS growth. I mean is this just a structurally different phase for UPS as we transition away from the previous B2B model to B2C or maybe for the next few years, we’re not going to be able to hit that 10% to 15% EPS growth target that you guys put out a few years ago?
D. Scott Davis: Brandon, I’ll start and then David can certainly add some perspectives. The challenges you highlight are real and we’ve been talking about adapting and migrating our model to profitably grow with B2C volume. If you look at '12 and '13 up until the fourth quarter, we showed expanding margins driven by B2C growth. So I don’t think it’s quite as bleak as you’re painting it. And clearly the challenges remain but we think we’re well on those. So we’ll clearly talk about the long term and the future in November a little more. But right now we feel like we’re doing the right things to build for the future. David?
David Abney: What we see now with the accelerated volume trends, we probably should have been investing at a slightly faster pace. We do see changing distribution patterns for customers around the world and we’re wrapping up investments this year by about $500 million primarily in capacity projects. And this additional CapEx is mostly of projects that we already had planned, we already knew we were going to do them. We’re now just simply advancing them from the outer years due to the accelerated volume. So even with this acceleration and capital projects, we still expect CapEx to remain in the 4% to 4.5% range during the next few years.
Brandon Oglenski - Barclays Capital: Thank you.
Operator: We have a question from the line of Mr. Chris Wetherbee of Citigroup. Please go ahead.
Chris Wetherbee - Citigroup: Thanks. Good morning, guys. Maybe a question around peak season and the planning. Obviously, the conversations have been ongoing for several months now around customer behavior. And I guess I just want to think without using price necessarily as a strong or blunt instrument around customer behavior in the peak season, how do you sort of adapt and get customers to sort of focus on shipping at the right times when the network has a little bit more flexibility and a little bit more capacity? How are those conversations going in sort of the absence or I guess not necessarily using price as the key tool to adjusting that behavior?
D. Scott Davis: Yes, certainly we said one of the key components of our peak preparation was increased visibility with customers and improve planning the collaboration. Alan, you guys have been on that very much these days.
Alan Gershenhorn: Yes. We obviously have a long history of collaborating and communicating with our customers. But as you said, due to these changing trends the importance of us getting closer to our customers and working joining on collaborative operating plans is the order of the day. So, we’re working with our customers on special weekend operations. One of the areas that we’re working very closely with them on is their omnichannel strategies and whether or not they should be fulfilling from their DCs or fulfilling from their stores. And that certainly helps us manage their business better and also do it at a more effective cost.
D. Scott Davis: One of the parts of our peak planning has been joint commitment sessions with our customers certainly focusing on the highest peak periods and making sure that we have capacity that’s needed. And if there’s volume in excess of that, then there may well be a yield adjustment for that incremental volume.
Chris Wetherbee - Citigroup: All right, that was very helpful. Thanks. Congrats, Scott and David.
D. Scott Davis: Thank you.
David Abney: Thank you.
Operator: We have a question from the line of Art Hatfield of Raymond James. Please go ahead.
Arthur Hatfield - Raymond James & Associates: Thank you. Good morning, everyone, and congrats Scott and David. I want to go back to this pricing thing. A lot of questions about pricing today, but it seems like as you've said 2014 is the year of investing for the customer. Is it possible that 2015 is going to be the year of charging the customer? And a couple questions about that as we think about – as I think about some of the comments you've made today, do you feel like you need to have a clean peak season from a service perspective before you can start to move price? And secondly, is a potential peak season surcharge in the offing for this year?
D. Scott Davis: First of all, we definitely are planning and expecting a clean peak season. We’ve invested heavily this year as we’ve talked about at length. We think we’re prepared. We’re working very well with the customers. So we certainly expect a real strong peak season in 2014. As I said, this year is about investing for the customers. And as I mentioned earlier, I don’t think you’ll see the level of OpEx required in 2015 that we saw in 2014. But if e-commerce conditions change again in 2015 to drive more OpEx, I think we’ll have to evaluate everything. Everything is on the table and that could include a surcharge to peak in the future.
Arthur Hatfield - Raymond James & Associates: Great. Thank you.
Operator: We have a question from the line of Jack Atkins of Stephens. Please go ahead.
Jack Atkins - Stephens Inc.: Hi, guys. Thank you for the time. David, it sounds like you’ve had some very extensive conversations with your customers here over the course of the last several months as you assume your new role. I was just curious if you could give us a sense for how you are expecting peak season to unfold both in terms of international airfreight and then on the domestic side, just from your conversations with those customers? Are you expecting to see some tech product launches beyond what we've seen in the past couple of years? Just trying to get a sense for the order of magnitude relative to what we've been seeing call it over the last three, four years.
David Abney: All right. Well, as far as the tech launches, every year to the third and fourth quarter we normally do see tech launches and we expect that that continue again next year. In fact we’ve heard some pretty good indications of that and we have shown in the past where we can wrap up rapidly and we handle these tech launches really as good as anybody could out there. So we look forward to it. As far as the international freight, Jim, as it goes to peak season, I’ll turn it over to you.
Jim Barber: Well, I think the great part about the network and the way we’ve got it set is they launch and both the airfreight side as well as the small packaged side, the network is able to handle that. And as David said, we do have some information about launches coming. We work with those typically a couple of months out to make sure the customers and we satisfy their needs and their consumers. So, I would say to this specific question we kind of see the next couple of quarters similar to the past couple of years and some tech launches coming and our ability to participate in those accordingly.
Jack Atkins - Stephens Inc.: Great. Thanks again for the time.
Operator: We have a question from the line of David Ross of Stifel. Please go ahead.
David Ross - Stifel Nicolaus: Yes. Good morning, gentlemen. Kurt, you mentioned in your earlier comments about changing distribution patterns in Europe and David, you also mentioned that distribution patterns were generally changing around the world. Can you expand on those comments specifically on how distribution patterns are changing for Europe? How well UPS is positioned to handle that? And how those changes of operations or the additional capacity you’re ramping up is looking to address this?
Kurt Kuehn: Yes, I’ll start off at a high global level and then have Jim maybe talk a little more granularly. We are continuing to see transport or shipments, regional shipments grow at a faster rate than trans-ocean shipments. So intra-Europe, intra-North America certainly seems to be a higher – have a higher velocity and you can see that in our mix change, in our yield change. So, that’s one of the big themes. Europe’s been a strong story for intra-Europe shipments with the convergence to the EU, but we are seeing some areas show a little more growth than others. Jim, maybe you could talk.
Jim Barber: Well, I think it really just comes down to the fact that Europe as a single market is continuing to evolve. Your distribution centers where they are placed there move and as that economy grows and it moves out to the east, the distribution models move with it. The inventories move with it. Our transport or network will support it in a different way, those patterns change and that’s a good thing for us to have our network. I think the investments that we’re talking about quite frankly are more in the hubs now and our hubs are – the growth patterns you’ve seen in international now are forcing us just like the U.S. continue to force in our hubs to keep that network flowing appropriately and that’s what we plan to do over the next couple of years. So that’s really what’s behind the trade pattern question.
David Ross - Stifel Nicolaus: And does Cologne have enough capacity to handle it as you expected or are there other hubs that need to pop up to kind of supplement it?
Jim Barber: It’s be a great day when we build the next Cologne because it’s got – we’ve built it quite frankly for about 10 more years of growth and the most recent investment and can continue to scale. We love that investment and it will serve us well for a long time to come.
David Ross - Stifel Nicolaus: Excellent. Thank you very much.
Operator: David Campbell of Thompson, Davis, & Co., please go ahead.
David Campbell - Thompson, Davis, & Co.: Yes, thank you for taking the question. Back to Europe a little bit, there is obviously a lot of economic and political hotspots over there; Russia, the Ukraine, Israel, Iraq. Any impact on your business from any of these disputes, the wars, disputes, whatever you want to call them?
D. Scott Davis: I mean straight up, I would say those business markets for us right now we’re obviously in those markets, I think we’ve done a good job to kind of manage through those and have an operating model that’s flexible and variable depending on what happens. But most of those markets for us are still what we would call emerging markets and we’ve kind of kept back some of the big investments there to be tailored to the trade that we’ve talked about earlier and the way that we’re ready to invest. So at this point, we feel like we’ve adjusted that adequately and results in the international business you can see haven’t been affected at all.
Kurt Kuehn: There’s not much impact. Yes, we still pay attention to what could happen to Ukraine, could that impact Poland or Syria could impact Turkey and those type of things. So we pay a lot of attention to it. So far no damage.
David Abney: From an airline standpoint, we closely, closely monitor world events and make sure that we make the appropriate changes to our air network.
David Campbell - Thompson, Davis, & Co.: And last question is, is your international airlift capacity down? I see that the tonnage is down from last year. Is your capacity down too?
D. Scott Davis: Our block hours are pretty much flat with last year, so maybe slightly down but not much.
David Campbell - Thompson, Davis, & Co.: Okay. Thank you.
D. Scott Davis: Thanks, David.
Operator: We have a question from the line of Mr. Thomas Kim of Goldman Sachs. Please go ahead.
Thomas Kim - Goldman Sachs: Good morning. Thank you. I have a long-term question on your Asian network. Based on the aircraft order book, cargo, capacity and passenger belly hold is likely to grow faster than airfreight demand structurally. First off, would you agree with that and if so, do you have opportunity to become or to rely much more extensively on third party capacity? And in that vein, does that mean that you need to expand your freight forwarding capacity much more significantly than what you’re capable of today? Thanks.
David Abney: I’ll start off. Asia to U.S., our network is built around 7.5 trunk routes and that changes a little bit and we watched it closely. It is down 20% from 2011. We’ve also placed larger aircrafts, so that’s one of the things that has helped us in that area. So, yes, especially with the growth of worldwide expedited products, it does give you a lot more options to move the freight. You can hold it to take advantage of capacity. It’s less capital intensive and we can utilize common carriage more for that product and we certainly do.
D. Scott Davis: Just a note I think we did foresee this. That’s part of why we made a big investment into a forwarding capability back in 2001. Thanks.
Operator: We have a question from the line of Rob Salmon of Deutsche Bank. Please go ahead.
Rob Salmon - Deutsche Bank: Hi. Good morning. Thanks for taking my question. With regard to the SurePost growth that we saw in this quarter, could you elaborate a little bit on where that’s coming from and what your expectations are looking forward? It’s been over 50% the past couple quarters and I was hoping to get a little bit more color on that line.
D. Scott Davis: Sure. Alan, you want to take us through it.
Alan Gershenhorn: Yes. So the growth is certainly concentrated but it’s concentrated in one industry and that’s retail. However, it’s wide scale throughout our enterprise customers and also our middle market account. And really what you’re seeing is shipments are choosing UPS because of the array of solutions we provide not just the SurePost product. And as you heard earlier, really all of our air and ground products, our residential products are growing, our commercial products are also growing but certainly SurePost grew with that 60%.
Rob Salmon - Deutsche Bank: Thank you.
Operator: We have a question from the line of Ms. Allison Landry of Credit Suisse. Please go ahead.
Allison Landry - Credit Suisse: Thanks for taking my question. Just on the cash flow and some of the expense headwinds you have coming through in the second half, I was just wondering if there was any update on your plans to repurchase 2.7 billion of shares this year which I think you outlined in your fourth quarter conference call. Are you guys still expecting around that level?
Kurt Kuehn: Yes, absolutely. Our commitment to shareowner distributions remains unchanged. Actually our CapEx although reoriented more towards ground and technology facilities and vehicles than airplanes remains quite low, so we will be in the 4% plus or minus category. And so, yes, our share repurchase continue. We’re pretty much right on pace for completing our $2.7 billion commitment for this year.
Allison Landry - Credit Suisse: Okay, that's great. Thank you.
Operator: Due to time constraints, our last question will come from the line of Mr. Jeff Kauffman of Buckingham Research. Please go ahead, sir.
Jeff Kauffman - Buckingham Research: Thank you very much and congratulations to both Scott and David.
D. Scott Davis: Hi, Jeff. I got to say that on my first call in 2000, you asked my first question. Today you’re going to ask the last question.
Jeff Kauffman - Buckingham Research: We’re coming full circle. A lot of my questions have been answered. I just wanted to focus a little bit on the maintenance expense. It’s not your largest expense, but I was a little surprised. It was up 10%, particularly with block hours kind of flat. Did we see any deferred maintenance this quarter from first quarter? Is there any reason why it would be at this level?
Kurt Kuehn: No. The biggest driver of it is just the cycle of aircraft maintenance. Clearly, there is some expense in there as we began during some retrofits and buildings, but it’s really driven by just the normal large B&C checks for airlines, Jeff, and we do expect that to continue for a couple of quarters.
David Abney: Yes, it’s really the aging of some of the new aircraft that we bought over the last few years. They’re in for their first real maintenance check now and that’s what’s driving it. It’s just block hours and a time issue.
Jeff Kauffman - Buckingham Research: Very good. Well, Scott, please enjoy. Guys, thank you.
D. Scott Davis: Thanks, Jeff.
Operator: I would now like to turn the conference call back over to Mr. Wilkinson and panel for any closing remarks they may have.
Joe Wilkinson: Thank you. I will now turn the call over to Scott Davis.
D. Scott Davis: As I said, this is my 14th year of hosting these calls with either the CEO or the CFO and we’ve delivered a lot of different messages over those 14 years. But this quarter believe it or not was our largest domestic volume increase, 7.4% that we saw in those 14 years, so it’s pretty impressive to get that kind of growth. So the markets are moving in the right direction. Clearly, 2014 is a year that we are investing for the customer but we expect an excellent peak season and in the future, these investments will clearly benefit not just the customer but also our employees and our shareowners. Thanks so much. I enjoyed the call.